Operator: Good morning. My name is [Carol], and I will be your conference operator today. At this time, I would like to welcome everyone to the Automatic Data Processing second quarter fiscal 2008 earnings conference call. (Operator Instructions) I will now turn the call over to Elena Charles, Vice President of Investor Relations. Ms. Charles, you may begin.
Elena Charles - Vice President, Investor Relations: Thank you. Good morning. I'm Elena Charles, ADP's Vice President of Investor Relations. I'm here this morning with Gary Butler, ADP's President and CEO, and Chris Reidy, ADP's Chief Financial Officer. A slide presentation accompanies today's earnings call and webcast, and it is available for you to print from the Investor Relations home page of our web site at ADP.com. Just to remind you, the quarterly history of revenue and pre-tax earnings for our reportable segments has been updated for the second quarter of fiscal 2008 and has been posted to the IR section of our web site. During today's conference call, we will discuss some forward-looking statements that involve some risks, and these are discussed on Page 2 of the slide presentation and in our periodic filings with the SEC. With that introduction, I'll turn the call over to Gary for his opening remarks.
Gary C. Butler - President, Chief Executive Officer, Director: Good morning. I'll begin today's call with some opening comments about our second quarter. And before I turn it over to Chris Reidy, our CFO, to take you through the detailed results, I'd like to comment on the softness in the economy and how we see that affecting ADP. Then I'll return towards the end to provide you with an update on our guidance for fiscal 2008 and give some concluding remarks before we take your questions. As you know from our earnings release this morning, we did post strong results for the second quarter and are still forecasting another strong year for fiscal 2008 despite the obvious headwinds from lower interest rates. We continue to execute well against our growth strategies, and you can see that we are achieving the desired results of double-digit revenue growth with pre-tax margin expansion across the board. Overall, I am very pleased with our results for the second quarter. Revenue growth for the quarter was a strong 15%, with organic revenue growth of around 13%. We are tracking well to our full year ES sales growth forecast, which does include the PEO, and I continue to be very pleased with Dealers' strong new business sales growth. Client retention remains at excellent levels for the quarter in Employer Services, the PEO and Dealer Services. As you know, we did raise our dividend 26% effective January 1, and we are maintaining our strategy of returning excess cash to our shareholders through continued share repurchases. And our cash balances as of the end of the second quarter are now down to $1.4 billion. Now let's talk about the economy for a few minutes. We are certainly very aware of the uncertainties surrounding the economy. In addition, short-term interest rates are currently forecasted to be 275 basis points lower by June 30 than when we began fiscal 2008 just some short seven months ago. Our investment strategy of laddering maturities by design partially mitigates the downside to ADP as interest rates decline. As a result, the quarter portfolio yield was actually 20 basis points higher in this year's second quarter than last year. With the drop in interest rates, our yield will go down slightly as the year progresses, but because of this laddering strategy, the decline will certainly not be as steep as indicated by current market rates. It is also important to note that we began to expend our portfolio duration by feathering in this laddering strategy in fiscal 2001 as the economy entered the last economic downturn. However, we did not reap the full benefit of averaging our way through that period of interest rate decline due to a then-shorter portfolio duration. Today we are much better positioned as we have been able to more than double the duration of the portfolio since 2001, which obviously provides a better natural hedge against interest rate fluctuations. I also want to reiterate a position that I've shared with a number of folks. We have no plans to cut back on our investments for growth. We will continue expanding the sales force, adding about 5% to 6% headcount on average this fiscal year. We will also invest in implementation and client service resources needed to support our continued organic revenue growth. Our business model and cash flows are strong. We had 90% recurring revenues, and the markets we participate in are underpenetrated and growing. With that backdrop and opening comment, I'll now turn it over to Chris to provide the details on our quarterly results.
Christopher R. Reidy - Chief Financial Officer, Vice President: Thanks, Gary, and good morning, everyone. As Gary said earlier, results for the second quarter were strong. Total revenues grew nearly 15% to over $2.1 billion. Client funds interest revenues grew 14% from client balance growth of 8.9% and a 20 basis point improvement in the average interest yield to 4.5%. The 8.9% growth in client fund balances includes about a point and a half of strong Canadian dollar growth on top of solid balance growth in the U.S. As Gary indicated a moment ago, this 20 basis point improvement in average interest yields compared with a year ago speaks to our portfolio investment strategy of laddering maturities to mitigate the exposure to changing interest rates. Let me also reiterate some of the comments we made on last quarter's earnings call regarding these investments. ADP continues to invest only in highly liquid, investment grade, fixed-income securities with an overall quality of AAA/AA. We have no exposure to asset-backed securities with underlying collateral of subprime mortgages and no exposure to collateralized debt or collateralized loan obligations. Our ability to issue commercial paper has not been adversely impacted by the continued turmoil in the credit markets. So what I want to be sure you're hearing is that we are not achieving the higher yield to the portfolio by investing in more risky securities. Quite the contrary our investment guidelines remain very prudent, and our over strategy is to average our way through the highs and lows in interest rates by laddering maturities, which is enabling ADP to partially mitigate the impact of declining interest rates. It's also important to note that as interest rates have declined, there are currently unrealized gains in the investment portfolio of approximately $350 to $400 million. We're not looking to realize any of these gains to, quote, "make the numbers," but what this means is that the embedded yield in the portfolio is significantly higher than current market rates. Now back to the results. Pre-tax earnings grew nearly 17% excluding last year's second quarter net realized gain, and on that same basis, pre-tax margin expanded 35 basis points. Earnings per share from continuing operations increased 22% to $0.55 a share and included approximately $0.02 per share from tax settlements in the quarter. Now let's turn to Slide 5. We'll talk about share repurchases and our cash balance at December 31. Consistent with what we've said in the past, we have continued to repurchase shares at a higher than our historical pace excluding the one-time infusions of cash from the sale of Claims and spin-off Broadridge. We repurchased over 18 million shares fiscal year to date for about $842 million. The share buybacks to date are anticipated to have nearly $0.03 accretive for the full fiscal year 2008 or over $0.01 additional accretion since the last time we updated our guidance back in October. As we continue to return excess cash to our shareholders, we have reduced our cash balances to $1.4 billion at December 31. Now let's turn to Slide 6. Employer Services had another strong quarter - 11% revenue growth with 10% organic growth and over 8% growth in our traditional payroll and tax filing business in the United States. Our Beyond Payroll revenues grew 16% in the U.S., and to remind you, this excludes the PEO revenues, which we'll discuss in a moment. Employees acquired last year as well as comprehensive outsourcing services and time and attendance contributed to the strong Beyond Payroll growth. ES's pre-tax margin expanded nearly 70 basis points on increasing operating leverage, primarily from the scale in the business but also from the smartshore and offshore initiatives, data center consolidation, as well as lower losses in growth business such as GlobalView and COS. There is still some drag in the quarter from last year's acquisitions that closed during last year's second and third quarters. Pays per control growth, the same-store sales metric, was up 1.7% in the quarter. While this is still lower than the 2% growth we've seen over the last three-plus years, the growth is holding with 1.6% growth year-to-date, and the growth in the number of pays in Europe is the strongest we've seen in the past few years. We head into the critical year end period with year-to-date client retention at excellent levels of over 90%, and new business sales growth, which includes both ES and PEO services, was 8%. Now let's turn to Slide 7. PEO also achieved strong results for the second quarter. Revenues grew a strong 22%, with average worksite employees increasing 20% in the quarter. Pre-tax margin increased about 50 basis points when you exclude the costs related to a state unemployment tax matter on the quarter of almost $2 million. Now that PEO Services is reported as a separate segment from Employer Services, I'd like to point out that because of its small size relative to ES, you should expect to see quarter-to-quarter fluctuations in the PEO's reported results. However we are on track to deliver the forecasted margin expansion of 50 to 90 basis points which Gary will go into in a few moments. Now let's turn to Slide 8. Moving on to Dealer Services, the second quarter results were also very strong. Total revenues grew 9.5%, organic revenue growth continues to improve with 7% growth in the quarter compared with 5% in the last year's second quarter. Dealer Services' pre-tax margin expanded nearly 90 basis points, driven by operating leverage partially offset by a drag from the first quarter's acquisitions of three distributors of our Autoline product. And new business sales were quite strong in both the North American and international markets. Now I'll turn it back to Gary for an update on our full year forecast.
Gary C. Butler - President, Chief Executive Officer, Director: Thank you, Chris. We're now on Slide 9, where I'll update our fiscal 2008 revenue guidance. We are affirming our revenue growth forecast of 12% to 13%. You've just heard from Chris that organic revenue growth in the businesses is strong, and we have also benefited from favorable foreign exchange rates. As you know, interest rates have declined since we last provided our forecast to you on October 30, and as a result we are lowering the anticipated growth in client funds' interest. We are forecasting a full year fiscal increase of about 3% to 4%, which is an additional decline of around $25 million since our previous forecast on October 30. This revision is based on fed funds futures contracts and forward yield curves as of yesterday, January 31. The fed funds futures contracts do anticipate two further declines of 25 basis points each in the fed funds rate over the remainder of the fiscal year, exiting ADP's fiscal year with a fed funds rate of 2.5%. This reflects a 275 basis point reduction since our original forecast in July. The forward contracts also indicate a decline in fixed-income rates of over 100 basis points since our last guidance update at the end of October. We are now forecasting a reduction of less than 20 points versus last year in the average yield on the client funds portfolio of over 4.3%, which compares with last year's nearly 4.5%. This calculation also gives us a fourth quarter exit rate of approximately 4.1% yield on the portfolio. We're also anticipating about 7% growth in client fund balances, which is slightly lower than our previous forecast of 7% to 8%. As Chris indicated earlier, we have seen lower wage growth this year as a result of lower year end bonuses, and we are forecasting further declines in bonus payouts over the next several months. We continue to forecast about 1.5% growth in our same-store pays per control metric for the fiscal year. I'm now going to Slide 10 for those of you who are following along. We remain confident in our ability to achieve the high end of our 18% to 21% earnings per share growth forecast. This forecast does include the following items that were not reflected in our October 30 guidance to you: It includes $0.02 benefit from tax settlements in the second quarter which Chris touched on. Also it includes about $0.01 additional accretion from share repurchases subsequent to the first quarter. And it does include an additional $0.01 from the current estimated favorable foreign exchange rate. This point 04 or $0.04 of additional earnings per share is, however, partially offset by about $0.03 from lower client funds interest revenues based on the fed funds future contracts and forward yield curves as of January 31, 2008, as well as the lower anticipated client fund balances that I referenced earlier. There are also no further share buybacks contemplated in this fiscal 2008 guidance, though it is our intent to continue to buyback shares at higher than our historic pace depending upon, obviously, market conditions. Now let's go to Slide 11 to revenue the guidance by business segment. On Slide 11 you'll see our guidance for the segments. We've continued with the table format to clearly depict the current forecast and how they have been updated or differ throughout the year. Let's first talk about Employer Services, which excludes the PEO. For ES we anticipate about 10% revenue growth, slightly down from our previous forecast of about 10.5% partially due to the anticipated lower client funds balances growth that I mentioned earlier. And to remind you, ES is credited with revenue at a constant 4.5% interest rate on client fund balances and is therefore not impacted by the changing interest rate environment. And as we move into the second half of the year, we are slightly narrowing our forecast for pre-tax margin expansion to 70 to 110 basis points. Let's go to the PEO. We are affirming our PEO revenue growth forecast of 19% to 20% and our pre-tax margin expansion forecast of 50 to 90 basis points. In terms of sales growth, we continue to confirm our forecast for new business sales growth of high single digits to low double digits for the full year. And to remind you, this number includes both Employer Services and the PEO new business sales. In Dealer, there is no change to our Dealer Services forecast. We continue to anticipate revenue growth of about 10% and pre-tax margin improvement of 70 to 90 basis points. Now turning to Slide 12, I'd like to summarize where I think we are. As we move forward from a strong first half of fiscal 2008, we are facing headwinds from a lower interest rate environment. That being said, I remain optimistic about the longer-term strategic direction for the businesses, and I don't want anyone to lose sight of what ADP has accomplished over the last couple of years. We are a new, focused ADP, having recently divested slower-growing businesses. Additionally, we are much better positioned today to compete worldwide with our GlobalView and Autoline products than we were certainly some short three to five years ago. And as I think about our results thus far in fiscal 2008, I am certainly pleased with the strong growth in each of our business segments. You've also heard me speak previously about measures we've undertaken to increase operating efficiencies and to remind you we are proceeding nicely with the data center consolidation, our smartshore and offshore facilities, and investments in telesales. Anticipated revenue growth for the year remains double-digit, with pre-tax margins improving in each of our business segments and our earnings per share growth forecast is strong. We are the global market leader and have a strong, broad-based portfolio of products and services. I want to also be clear that we intend to continue to invest in new products, sales force expansion, and implementation in client services resources in order to drive this important organic revenue growth while at the same time sustaining our discipline around pre-tax margin expansion. We remain keenly focused on our five-point strategic growth program and remain confident in our ability to deliver both strong revenue growth and margin improvement over our planning horizon. The ADP business model is strong, and we anticipate another year of excellent cash flow. And our commitment to return excess cash to our shareholders is clearly evidenced by our higher than historic share repurchases as well as the 26% increase in the dividend that we announced last November. With that, I'll conclude my comments and turn it over to the operator to take your questions.
Operator: (Operator Instructions) Our first question will come from the line of Liz Grausam with Goldman Sachs.
Christopher R. Reidy - Chief Financial Officer, Vice President: Good morning, Liz.
Liz Grausam - Goldman Sachs: [break in audio] diversification. Can you just remind us what is your revenue -
Christopher R. Reidy - Chief Financial Officer, Vice President: We missed the first part of what you said, Liz. We just picked it up half-way through your comment.
Liz Grausam - Goldman Sachs: I'm sorry. I just wanted to hit on your global diversification and also your reinvestment rates currently. First on the global side, could you remind us how much of your revenue right now is out of the U.S. and how that might have compared to 2000, 2001 as you entered the last cycle, and how you're seeing growth outside of the U.S. compared to what you're seeing internally here.
Elena Charles - Vice President, Investor Relations: Liz, the international revenue growth is not that much different than it was back then because we did have our Claims business, which was primarily international revenues. But looking at ES now, for example, it's - right now less than 52% of the total revenues are international.
Liz Grausam - Goldman Sachs: Okay. And then on your reinvestment rates and your portfolio, I know what your average yield is and where you expect average yields to go, but it takes time to reinvest your portfolio, so interest rate implications might be greater for 2009 than they are necessarily for 2008. Chris, can you give us some perspective as to what your average reinvestment rate is, where you're investing currently your incremental funds on the yield curve.
Christopher R. Reidy - Chief Financial Officer, Vice President: In fact, that is why we mentioned, Liz, that we exit this year at 4.1% rate, so that's a good indication. And clearly, the reinvestment rates - the new purchase rates - are lower than that. They're running around 3.4%, but again, that speaks to the fact that we've laddered the maturities, so we're only exposed to those investments that are becoming more mature. We have continuously moved the duration up - we're currently now at about 2.5 just to insulate ourselves as much as we can against just this very situation of declining interest rates.
Gary C. Butler - President, Chief Executive Officer, Director: Liz, also, in terms of the international piece, if you went back in time and looked at ES and Dealer from an international perspective, in the early years of 2001 and 2002, we were growing very little in those businesses internationally, and our rates today in both businesses are around double digits or up dramatically from last year and up significantly from the years before that.
Liz Grausam - Goldman Sachs: And can you give any update on GobalView around that point, Gary?
Gary C. Butler - President, Chief Executive Officer, Director: GobalView is continuing to do very well. I think we have somewhere around 800,000 employees signed up for GobalView. About a third of those are live at this point. Most of that is in backlog or implementation cycle. I think that represents around 70 clients now at this point in time on a global basis.
Liz Grausam - Goldman Sachs: Great. Thank you.
Operator: (Operator Instructions) And our next question will come from the line of Greg Smith with Merrill Lynch.
Christopher R. Reidy - Chief Financial Officer, Vice President: Good morning, Greg.
Gregory Smith - Merrill Lynch: First question: Can you just remind us of the pays per control sensitivity, just so we all have it straight?
Christopher R. Reidy - Chief Financial Officer, Vice President: Sure. Our pays per control sensitivity, a full percentage change in pays per control is worth about $15 million directly, and then we say it could be as much as 20 because typically you're in an environment where that affects other items as well. So think 15 to 20.
Elena Charles - Vice President, Investor Relations: And that's revenue, Greg.
Christopher R. Reidy - Chief Financial Officer, Vice President: Revenue.
Gregory Smith - Merrill Lynch: Yeah, and then the incremental margins, though - relatively high on that?
Elena Charles - Vice President, Investor Relations: Yes.
Christopher R. Reidy - Chief Financial Officer, Vice President: Yes.
Gregory Smith - Merrill Lynch: Okay. Okay. And then actually in the Dealer business, you know, you called out U.S. growth being actually pretty darn good. It just seems to not fit with some of the macro environment out there. What's really driving the U.S. side of Dealer and how's the outlook look for now?
Gary C. Butler - President, Chief Executive Officer, Director: Dealer's growing very strong internationally. In addition, it's doing quite well domestically. What's really driving that domestic growth is the success in our continued success in our ASP outsourcing. Secondarily, we're selling in boatloads the voiceover IP services that go with that ASP model, and we've just recently introduced a new multi-tenant voiceover IP technology that we're selling which enables us to go after the middle and lower end of the market. On top of that, our front office sales would be the results around optimizing the Internet and lead flow and the follow up systems for Dealer is just going gangbusters. And we're taking share, as well, against the competition, you know, in the range of 2 or 3 to 1.
Gregory Smith - Merrill Lynch: Okay, and then just one last question. Just given the, you know, the volatility we've had in the fed funds rate over the past seven years or so, have you considered at all changing your strategy of managing the portfolio, possibly hedging or doing anything significantly different?
Gregory Smith - Merrill Lynch: We talk about that from time to time. Obviously, hedging is not free if you're using outside sources, and we continue to believe that extending the portfolio is a better alternative. As we talked earlier - or as I commented earlier - our portfolio back in 2001 and 2002 was around 1.1 to 1.2 years with 40% to 50% of the funds in short-term money. Today our portfolio is 2.5 years with less, you know, around 20% in short-term funds. So I think our portfolio feather strategy is working well. You know, you obviously can't 100% insulate yourself from it, but certainly we are in a far better position today than we were five or six years ago.
Christopher R. Reidy - Chief Financial Officer, Vice President: I'd add one thing to that and that is part of the laddering strategy means that we're out in the commercial paper market on 200 days a year because we're invested long term, but we have the short-term maturities of the debt obligations of the obligations that we have. Therefore we're actually borrowing in the commercial paper market, and that's kind of a natural hedge because interest rates in the commercial paper market are going down as interest rates decline as well. So you get the benefit of that as well.
Gregory Smith - Merrill Lynch: Thank you.
Elena Charles - Vice President, Investor Relations: And Greg, it's Elena. One thing, too, when we're talking about how much is short in the portfolio, it's the client portfolio we're talking about. I just want to make sure that you got that. The corporate's naturally shorter, so those were the client portfolios we're talking about.
Gregory Smith - Merrill Lynch: Yep. Thank you.
Elena Charles - Vice President, Investor Relations: You're welcome.
Operator: Our next question will come from the line of Jim - James Kissane with Bear Stearns.
Christopher R. Reidy - Chief Financial Officer, Vice President: Good morning, Jim.
James Kissane - Bear Stearns: [break in audio] in January. I guess you were a little bit better in December, but you're still guiding for 1.5% pays per control for the year. And, you know, it looked like on Wednesday your macro data was very strong, but now the BLS numbers look pretty weak. So can you kind of reconcile all this?
Christopher R. Reidy - Chief Financial Officer, Vice President: Jim, we missed the first part of your question. I don't know. There's something wrong here with -
James Kissane - Bear Stearns: I was just asking about all the cross currents in the jobs data. I mean, you're getting so many different readings. The BLS numbers were pretty weak this morning, but your numbers the other day - the macro data - was very strong. You know, trying to get a sense of your current read in terms of January because I think, you know, in December you had 1.7% pays per control growth for the quarter, but you're still guiding for 1.5% for the year. So are you seeing a dip here, you know, as we sit here?
Christopher R. Reidy - Chief Financial Officer, Vice President: I mean, what you see - what we see through the end of December - is what we reported. We don't attempt to try to do monthly reporting because there's too many cutoff issues and five-week versus four-week kind of periods monthtomonth. So we don’t try to do that except quarterly. We're seeing, obviously, with the strong revenue growth that we have, we're seeing no drop off in recurring revenues, which is partially driven by pays per control. And typically the ADP data has been pretty accurate to the revised BLS data once they catch up over a period of time. So I don't know exactly how to react to the BLS data, but it is what it is.
James Kissane - Bear Stearns: Yep, I hear you. I guess client retention dipped slightly. It's still excellent, but it dipped slightly. Where do clients go when they leave ADP? Because it seems like, you know, your competitive situation is extremely strong right now.
Christopher R. Reidy - Chief Financial Officer, Vice President: There's a number of things going on there. Don't forget you have bankruptcy, out of business kind of stuff, that gets in there as well, particularly on the low end. So we haven't seen dramatic changes. In fact, it was down quarter-over-quarter, year-over-year, but it was right where we expected it to be, and, you know, no change in our guidance for the year.
Gary C. Butler - President, Chief Executive Officer, Director: And Jim, we're still actually up year-to-date by about 10 basis points over last year. You know, we've seen a slight moving up of out of business in the small business and mid markets, but our retention rate international and, I mean, particularly in the national accounts in the U.S., has never been better.
James Kissane - Bear Stearns: Okay, if I can get one last question in, it looks like PEO margins dipped slightly year-over-year after improving nicely in the first quarter. What was behind that? And I see you're sticking with the margin objective for the full year.
Gary C. Butler - President, Chief Executive Officer, Director: Yeah, we mentioned in the slide that there was a one-time item. It was actually less than $2 million for a state unemployment matter that we adjusted. And that's going to be the situation with PEO being a separate segment is you're going to see that, you know, $1 or $2 million item can swing their margin significantly. If you didn't have that $2 million, I think the difference was about another 70 basis points so it would have been up. So really, that's noise in the channel. With the PEO, you're going to have to look at the full year, and we're very comfortable with the 50 to 90 for the full year.
James Kissane - Bear Stearns: Perfect. Thank you.
Operator: Our next question will come from the line of Kartik Mehta with FTN Midwest.
Kartik Mehta - FTN Midwest Research: Good morning. Gary, I think you just said that you did see a little bit of move up in out of business for small businesses, and I was wondering, has that been reflected in your pays per control? Are you seeing any difference in pays per control in any of the business segments?
Gary C. Butler - President, Chief Executive Officer, Director: It wouldn't be included in our pays per control metric. First of all, that pays per control metric that we've shared historically is more in our Major account segment around our AutoPay product. On the small end, that's a different payroll product and typically out of businesses, that's where you see it first is in small accounts. So it would have no measure on either our historic or current reported pays per control.
Elena Charles - Vice President, Investor Relations: Yeah. And Kartik, even if we had - you know, because there would be bankruptcies, of course, in the low end of Majors, which is where that broad pays per control metric comes from. And since that's a same-store sale, if there's a bankruptcy, they wouldn't be in that same-store sales report because we wouldn't have them to compare to last year.
Kartik Mehta - FTN Midwest Research: Right. And what about, from a pricing standpoint, Gary, if you compare last recession or maybe the last time the economy slowed, was there a change at all in how much pricing power ADP had on the Employer Services side?
Gary C. Butler - President, Chief Executive Officer, Director: I would say slightly. You know, it wasn't to the point where we weren't getting close to our historical, you know, 1.5% to 2% kind of thing. What happens is you have more concessions after a price increase. Typically, people are more troubled and if you increase their price 3% or 4%, they tend to push back harder and we certainly tend to try to meet somewhere in between because we certainly don't want to lose the client. But yeah, there was some degradation, but it wasn't significant in terms of the overall business.
Kartik Mehta - FTN Midwest Research: Thank you very much.
Elena Charles - Vice President, Investor Relations: You're welcome.
Operator: Our next question comes from the line of Adam Frisch with UBS.
Jason Kupferberg - UBS: Yeah, hi. Good morning, guys. It's Jason Kupferberg for Adam. How are you?
Christopher R. Reidy - Chief Financial Officer, Vice President: Good morning, Jason.
Jason Kupferberg - UBS: I just wanted to pick up a little bit on one of Jim's questions regarding the BLS data, for example, obviously understanding it was weak this morning, could get revised next month, who knows? But it kind of begs a bigger picture question of maybe you could rank order for us as best you could the impact of key macro economic variables on your business, so whether it's the payroll numbers, wage growth, bankruptcies, unemployment rates, a lot of moving parts out there. How should we think about the ones that are really most relevant to your business and your growth potential?
Gary C. Butler - President, Chief Executive Officer, Director: I think the - I mean, we've already outlined and clearly, you know, shared with you metrics around what happens for every 25 basis points in fed funds rate, how that affects us. We've certainly just outlined again this morning the $15 to $20 million, which is what 1% of pays per control does, plus or minus. But clearly, beyond that the most important thing for us is the rate of new sales and our ability to continue to grow that number and continued high retention rates because that is, you know, when you're selling $1 billion plus dollars or close to $1.2 billion in new annual revenue each year, and regrettably you lose somewhere around, you know, 8% to 10% of the recurring revenue, that's really where the action is in terms of the net benefit from those two items. And clearly balances affect us. You know, as balances grow, we obviously earn interest rates on those balances. New sales and retention would be the two most important things.
Jason Kupferberg - UBS: Right. And so are there any figures provided by the government that tend to be the best leading indicators for those ADP-specific metrics?
Gary C. Butler - President, Chief Executive Officer, Director: Not really, you know. And the way you have to look at the BLS is you have to really look at their revised data, not their current data, because they've had a lot of movement between their revisions over the last couple of years.
Christopher R. Reidy - Chief Financial Officer, Vice President: You also have to look at the private number on the BLS, which was about flat, not versus the total, which was down.
Gary C. Butler - President, Chief Executive Officer, Director: Yeah, I mean, an example, in December the BLS was revised to 82,000 jobs, which was previously 18 when they initially released it. So they added, you know, 74,000 jobs one month later.
Jason Kupferberg - UBS: Right. Fair enough. Okay, that color's helpful. And switching gears a little bit, you've been talking a bit more the last few quarters about some of the smartshoring and the offshoring initiatives. Can you give us some numbers around that? What percentage of your employees are now either smartshored or offshored, and where might that percentage head over time?
Gary C. Butler - President, Chief Executive Officer, Director: We have about 45,000 associates worldwide. We have today around 2,500 associates in India on the way to 3,000 plus. Today we also have around 1,000 employees in El Paso on the way to 1,500, and we have 200 to 300 employees in Augusta on the way to 1,000 over the course of the next year to 18 months. And we are in process of opening up a third nearshore facility in Jackson, Mississippi where we have an initial plan to get up to 200 to 300 people. So you add all that together and you've got somewhere approaching 5,000 jobs, either nearshore or offshore, against a total employment of 45,000.
Christopher R. Reidy - Chief Financial Officer, Vice President: I would add to that internationally we're doing the international version of smartshoring, and we're in, for example, Canada is in Halifax. We're in Pilson. So we have locations internationally as well. That's close to 1,000 more employees.
Gary C. Butler - President, Chief Executive Officer, Director: And we - the arbitrage - and it's not just arbitrage because the service levels that we get from those locations is nothing short of fabulous, and when you look at India you get a three-to-one play, basically. It varies by job title in terms of FTEs, and in the nearshore you get about a 30% to 40% lift on labor and taxes and buildings and that kind of thing.
Jason Kupferberg - UBS: Okay, that's helpful. And if I can just squeeze one last one in, on the HRBPO business, can you give us a little bit more detail on the profile of deals that you're going after? Are you going after any of the real big ones that tend to be multiprocessed and sometimes they're up in the billion-dollar range? You know, just any incremental color there in terms of how you're approaching that business and what type of competitor you want to be in that fairly broad landscape?
Gary C. Butler - President, Chief Executive Officer, Director: Sure. As I've iterated many times before, we are not interested in any way, shape or form in what I'd call the lift-and-shift strategy that some of our competition pursues where you take over someone else's system, facilities, people, and you transport it over to ADP and try to rationalize it over time. All of our efforts in HRBPO are on ADP platforms, and when you think about COS, which today in on around $140 to $150 million run rate - by the way, that will exit the year making money as opposed to investing in building the business, so we will go into '09 in a profit situation - most of that revenue is - around 70% what we would call managed payroll, where we take over the payroll department, and then the other 30% includes where we're managing benefits and other HR kind of focus - functions. Our largest account there is Sodexho. We actually put out a news release I think it went out yesterday - that talked about Sodexho starting the first of this year, which will be our largest COS account with over 100,000 associates.
Jason Kupferberg - UBS: Great. Thank you for the color.
Elena Charles - Vice President, Investor Relations: You're welcome.
Operator: Our next question will come from the line of Rod Bourgeois with Bernstein.
Rod Bourgeois - Sanford C. Bernstein: Yes, Rod Bourgeois here. With the stock at this level and your fundamentals remaining solid, does it make you give more consideration to a much more aggressive share buyback or perhaps even the idea of levering up to repurchase your stock?
Gary C. Butler - President, Chief Executive Officer, Director: Obviously, you know, that's something, you know, that we've considered all along. We've been talking to a lot of you along the way. We still think the best strategy for ADP - there were a lot of folks that thought we should borrow a lot of money and lever up when we were at 49. We continue to think that the best strategy is aggressive share repurchases over time without taking a risk at any one point in time. And you'll continue, as we commented both Chris and I commented - you'll continue to see us in the market at higher than our historic rates over the course of the next year or so.
Rod Bourgeois - Sanford C. Bernstein: So it's probably not in the cards to lever up any time soon?
Gary C. Butler - President, Chief Executive Officer, Director: It would not be our current plan.
Rod Bourgeois - Sanford C. Bernstein: Okay. And then in terms of Dealer, I mean, the business has shown very good progress. Is there a consideration if you continue to make your improvements and hit your targets there that you'd ultimately divest that unit?
Gary C. Butler - President, Chief Executive Officer, Director: We've been very public in our comments there. As long as we believe that Dealer can grow at equal to or better than Employer Services, we tend to believe that it's a complement to the portfolio as opposed to a detriment. So to the extent it ever gets to the point where Dealer Services is not able to sustain a double-digit or close to double-digit rate, then certainly that would be a consideration. But we have no plans to do that in the near term.
Rod Bourgeois - Sanford C. Bernstein: Okay, that makes sense. And Gary, I was very encouraged to hear your comments that you will continue your investments in growth despite the interest rate pressures you're experiencing right now. Can you speak to whether you've pulled back at all on investments and more color on how you're evaluating that situation, particularly relative to what happened in the last downturn?
Gary C. Butler - President, Chief Executive Officer, Director: Sure, Rod. I appreciate the question. You know, I think - I guess the good news and the bad news is regrettably I'm six or seven years older and maybe a little wiser than we were six or seven years ago, and I think we made a mistake by trying to cut investments and cut spending in order to maintain our 160-plus quarters of double-digit earnings per share growth. And as a result, we really, you know - it took us probably two years longer than it should have to pull out of it because we cut for a period of almost two years, and then we had to ramp up spending and, in a recurring revenue business, it takes you two years to really see the benefit of those ramp up in expenses. I think both [Art] - at the time - and myself at the time thought the dip would be much shorter, and so we thought we could kind of, you know, notch up the belt and make it through. But at this point, since we get a little credit for interest rate increases and do get credit for organic revenue growth, we're going to stay the course and continue to invest in building out the infrastructure, adding to the sales force, expanding globally. I think we will be a little more hesitant of what I would call new kind of incremental kind of investment, but our strategies in the HRBPO, which includes the PEO, our ASO, our insurance products initiatives, our global expansion, we've got so much room to grow in all of those areas that to cut back on the infrastructure and the sales accretion there I think would be pennywise and pound foolish for the business on a five- to ten-year view.
Rod Bourgeois - Sanford C. Bernstein: Okay. That's very clear, and thanks for that. And then a final question here: January is clearly a key time to address the client churn that tends to happen at this time of the year, so can you give any comments on how you're doing with bookings and the churn situation in January and how you feel that is progressing so far in the calendar year?
Gary C. Butler - President, Chief Executive Officer, Director: Well, first of all, we don't, you know, give monthly results, as you probably know. A lot of what happens in January is the result of what happened in the first and second and third quarters as we go into that period of time.
Christopher R. Reidy - Chief Financial Officer, Vice President: We haven't really closed the books yet.
Gary C. Butler - President, Chief Executive Officer, Director: Yeah, and we really haven't closed the books yet, so I don't, you know, I don't think there's anything anecdotally that would be plus or minus that we could share with you. But, you know, I think it's pretty much business as usual. Our call volumes at year end have been about, you know, normal. You know, it's pretty much business as usual. With a strong sales first half, our starts at year end should be up accordingly with that strong sales growth.
Rod Bourgeois - Sanford C. Bernstein: All right. Great. Thank you, guys, very much.
Operator: Our next question comes from the line of David Grossman with Thomas Weisel Partners.
David Grossman - Thomas Weisel Partners: Hi, thank you. You know, I may have missed this in the prepared remarks, but could you talk about what the sales growth was in the U.S. versus other geographies?
Gary C. Butler - President, Chief Executive Officer, Director: We don't disclose the difference between what we sell in the U.S. versus domestically. I think in the quarter we're up 8% worldwide, which is really where the rubber meets the road. A lot of our sales, like GobalView, include sales across the world, not just one or the other, and it's a key component of our growth strategy there.
David Grossman - Thomas Weisel Partners: And this difference would not be meaningful?
Gary C. Butler - President, Chief Executive Officer, Director: Yeah. It's not significant, and I think, you know, year-to-date we're still up around 10%, which is really the important number on a worldwide basis.
David Grossman - Thomas Weisel Partners: And I think you may have given this in the past, but could you update us on how we should view sensitivity and revenue growth to, you know, fluctuations in the new sales growth number, Gary?
Elena Charles - Vice President, Investor Relations: Yeah. Yeah, I can do that for you, David - 1% sales growth, we talk about as being just close to $10 million in annual revenue. And I think the way to think about that is because when you look at the sales across such a broad spectrum of the market you see, you know, of course, at the low end, SDS and total floors, low end of Majors, will turn to revenue fairly quickly where on the higher end and internationally, you will have, you know, more of a lag in terms of when it actually hits revenue.
David Grossman - Thomas Weisel Partners: Okay, great. Thank you. And just, you know, we've been talking, I guess, about execution against your plan to cut out costs this year - the nearshoring, the offshore and the data center consolidation. Can you help us understand how much of that effort and the savings from that effort on a year-over-year basis extends, you know, beyond fiscal '08 and what types of things you're thinking about as kind of we get towards the end of the year in terms of other initiatives that may kind of continue to reduce costs as we go into fiscal '09?
Christopher R. Reidy - Chief Financial Officer, Vice President: Yeah. The game plan, as Gary said, would be not to cut the customer facing costs, so what we're talking about is non-customer facing kinds of things, for the most part. And there's still a lot of opportunity on the offshoring, the smartshoring, nearshoring, and frankly, we're looking at homeshoring, which is very beneficial as well for certain pockets of the employee base. So I would say that this is not something that you do over the course of a year. It's something that you continue to do and continue to grow on. The numbers that we've disclosed in terms of the number of employees is still a small percentage of our overall population, so there's still a lot of opportunity extending beyond '08 and, you know, that's our approach. We're very focused on - and we have a strong discipline around - our margins, and that's important to us. An example of that is the data center consolidation as well because now there are other pockets of hosting and such that will now move into the data center, so that will continue over the next year to year and a half.
Gary C. Butler - President, Chief Executive Officer, Director: Just to help you with the data center piece, last year we exited, saving around $20 million per year. This year we'll exit, saving around $50 million a year counting the tax savings, which will certainly carry forward into '09. And in cases like India, again, for IT resources, you know, the fully loaded cost is, you know, one-third of what it is in the U.S. So if you've got 1,000 IT associates in India, you know, you're saving, you know, $75,000 to $100,000 a year per individual on those costs. So it's significant.
David Grossman - Thomas Weisel Partners: Can I ask you - maybe another way is, is there as much opportunity entering fiscal '09 as there was entering fiscal '08?
Gary C. Butler - President, Chief Executive Officer, Director: I think the first thing you should think about is we get, you know - business as usual, no acquisitions, no degradation of the business - we get a half a point of margin improvement based on scale. Obviously, the next payroll check that we print has a much higher margin than the first payroll we printed before we got to the size that we are. So we manage the business and have been communicating to the Street that if we're growing in the double-digit range, you should fully expect a half a point of margin improvement just based on scale economy. On top of that, you know, we're trying to continue to be more efficient in the business with offshoring and nearshoring, the data center. And as we previously discussed with you, we have a number of efforts underway to integrate the corporate layer that we had when we had four businesses into a same group of people that were managing Employer Services because, as we exit this year and go through '09, our objective is to totally remove that layer and to have one ADP as opposed to corporate and four separate businesses that we had historically.
David Grossman - Thomas Weisel Partners: Okay, got it. And just one last question. I may have misunderstood this. Is the current reinvestment rate 4.1% or is that the rate you expect to exit the year?
Christopher R. Reidy - Chief Financial Officer, Vice President: That's the yield of the portfolio exiting the year. I think I mentioned that the current reinvestment rate is -
Elena Charles - Vice President, Investor Relations: About 3.4.
Christopher R. Reidy - Chief Financial Officer, Vice President: 3.4%
David Grossman - Thomas Weisel Partners: Okay. Great. Thanks very much.
Operator:  Our next question comes from the line of Gary Bisbee with Lehman Brothers.
Gary Bisbee - Lehman Brothers: Hi. Good morning, guys.
Christopher R. Reidy - Chief Financial Officer, Vice President: Good morning, Gary.
Gary Bisbee - Lehman Brothers: You know, I guess, can you give us a sense historically how new sales activity correlated with economic activity? So last cycle, you know, was it more difficult to close new business, or have you seen that since you offer some cost savings potentially that it actually was not that impacted? And the second part of the question is now that you've got a lot broader product portfolio, how does that play into how we should think about new sales trends in a weaker economy?
Gary C. Butler - President, Chief Executive Officer, Director: Basically during - the economy, if you look back at '02 and '03, you know, our sales growth basically flattened. I mean, plus or minus, you know, on a quarterly basis or whatever, it basically flattened. But there are several things that are very different today than were in place then. First of all, as I mentioned earlier - and the question, I think, was from Adam is we cut back on our investments in sales force expansion and implementation. We are not going to do that this year. Secondly, our competitive position and where we operate today is so different than six or seven years ago that I don't expect to see the same kind of pressure that we did last time. We have a whole new set of global products in both Dealer and in GobalView and Employer Services. We've got all our insurance initiatives. We really didn't even - the PEO was nascent at that point. It's continuing to grow at 20% kind of rates today. We're introducing the ASO and the COS platforms up market. You know, we're introducing the new CPA and wholesale distribution model on the low end with small business. So it's really an apple and an orange. And I'm sure we'll have some pressure, but I don't think it will be similar to the extreme pressure that we had in '02 and '03.
Gary Bisbee - Lehman Brothers: Just a follow up to that. Can you give us a sense maybe which or how many of the new products that you have or the product portfolio overall is a key part of the sales pitch, the potential for you to save money for the client? Is that a lot of the products, or is it much more better service that you're, you know, better offerings that you're selling them?
Gary C. Butler - President, Chief Executive Officer, Director: It's really kind of all of the above. I think there are a couple of good news things that are happening right now. One of the great statistics that again we reported this quarter is the strong growth in our core payroll and tax filing business, which is our highest incremental margin business. You know, we continue to grow, I think, 8%, Elena, or 9%? Yeah, 8% - 8% plus in the quarter. Clearly, our time and labor products are labor saving because they eliminate overtime and buddy checking and allow people to schedule their time much more accurately, so those kind of things clearly save money. The COS products that we're selling in the bigger bundles are not only better in compliance, but in many cases they save the clients money. So I think our product position is very broad and much better than it was before. In addition, we've got products that bring in clients even in hard times.
Gary Bisbee - Lehman Brothers: Okay. You know, I know it's really early in the product, but you had a release out a few weeks ago about the sales tax offering. Can you give us a sense as to how quickly - how that's going, first of all, and second of all, how quickly we should realistically expect you'll be able to grow that?
Gary C. Butler - President, Chief Executive Officer, Director: Realistically, you won't see any significant revenue from the sales tax or significant revenue growth for at least a year to 18 months. You know, we just acquired it last year. We've spent the last 12 months taking the product, putting it in an ASP mode, and then building all the connections in our Money Movement. So that's now just in pilot, where we're out starting to sell live clients to test all of that. We'll get more aggressive with that in '09, but it won't significantly impact revenue until we get to '10.
Gary Bisbee - Lehman Brothers: Okay and then just one last question on the PEO. Can you give us a sense how much of that is in Florida and what you're expecting the decrease in annual premium rates there is going to do? The revenue guidance you've given clearly assumes, you know, somewhat slower growth in the back half because of that. Is that the right way to think about it? Thank you.
Gary C. Butler - President, Chief Executive Officer, Director: When you look at the PEO, our highest growth areas are in California and on the West Coast and actually in the Northeast, where we have our largest client base because close to 50% of the PEO sales are leads, either from the client base or from our sales force. So the growth in Florida is slower than it is in the rest of the world. We have seen some pricing pressure around workers' comp renewal in Florida, but that's been going on for the last six to 12 months, so there's nothing new here. And, you know, we're not obligated to price at those levels, and as long as we're doing a good job for the clients, we're usually able to, you know, kind of work our way through it.
Gary Bisbee - Lehman Brothers: Okay. Thank you.
Gary C. Butler - President, Chief Executive Officer, Director: I think the biggest indicator there is our client retention in the PEO is equal to or better than it was last year, so that's really where the rubber meets the road.
Operator: Our next question comes from the line of Charlie Murphy with Morgan Stanley.
Charles Murphy - Morgan Stanley: Thanks. Could you please discuss how lower interest rates affect interest expense in the commercial paper program, and based on current futures, where would you expect FY '08 interest expense to be?
Christopher R. Reidy - Chief Financial Officer, Vice President: Well, it clearly does impact it, and as I said, we're 200 days in the market so that, as we go into the market, the interest expense is down. We'll take a look to see if we have the actual exit rate here in the information we have.
Elena Charles - Vice President, Investor Relations: Yeah, we think over the second half of the year that the borrowing cost is probably going to decline to, you know, about 3.5% down to, you know, probably even under 3% by the time we exit the year.
Charles Murphy - Morgan Stanley: Okay, thanks.
Operator: Our next question comes from the line of Michael Baker with Raymond James.
Michael Baker - Raymond James: Yes. Thanks a lot about your commentary in terms of your commitment to continuing to grow the sales force. I was wondering if you could provide a little bit more color in terms of allocation by business unit? If you're not willing to do that yet, maybe some sense of how that mix might shift as you look towards that at a business unit level?
Gary C. Butler - President, Chief Executive Officer, Director: Clearly, you know, we're adding headcount across the board. Obviously, with the great growth that we're getting in the PEO, a lot of that headcount is skewed toward the PEO. We'll also be adding a good bit of dedicated headcount to the ASO platform, which is our PEO without co-employment that kind of goes in the low end and the mid markets. We're clearly expanding our international headcount growth, in both ES and Dealer. And we'll continue to grow, you know, the incontinent kind of - in the continent headcount for our ES international business. Majors in small business will continue to add headcount, but it'll be more in the 3% to 4% to 5% range as opposed to in the PEO, where we might be adding double-digit headcount.
Michael Baker - Raymond James: That's helpful. Thank you.
Operator: Our next question comes from the line of Tien-tsin Huang with JP Morgan.
Tien-tsin Huang - JP Morgan: Thanks. Good morning.
Christopher R. Reidy - Chief Financial Officer, Vice President: Good morning, Tien-tsin.
Tien-tsin Huang - JP Morgan: I just - Chris, I had a quick question about margins. Looking at - we like to look at EBIT margins ignoring the float. It looks like it was up nicely, but not as much as the past couple of quarters. I heard you talk about, you know, the PEO issue and anniversarying some acquisitions. Anything else to read into that?
Christopher R. Reidy - Chief Financial Officer, Vice President: Yeah, if you look back in second quarter of last year, we had gain on sale of securities of $18 million which we have no impact - no gain or loss on sale of securities to speak of this quarter, so that'll drive a significant year-over-year compare.
Tien-tsin Huang - JP Morgan: Right. But I was looking at EBIT, I think, before the gain.
Elena Charles - Vice President, Investor Relations: Well, you have the acquisitions, you know, we mentioned that in terms of the ES would impact the overall [inaudible]. We haven't fully anniversaried those acquisitions. As well as Dealer Services, we have the impact this year of the three acquisitions we did in the first quarter that are also, you know, for this quarter pulling it down.
Christopher R. Reidy - Chief Financial Officer, Vice President: You also - in the second quarter you see a bit of a spike in our implementation spending and operating expense getting ready for new starts for the beginning of the next calendar year, so that's something that you'll see a little bit more spike as we begin to grow, so there's a little bit of that as well.
Tien-tsin Huang - JP Morgan: Thanks, guys. It didn't sound like anything unusual.
Christopher R. Reidy - Chief Financial Officer, Vice President: No.
Tien-tsin Huang - JP Morgan: And then I saw that you exited the accounts payable offering. Can you elaborate on that? I believe your partner got acquired, if I remember correctly.
Gary C. Butler - President, Chief Executive Officer, Director: That would be correct. American Express did acquire Harbor Payments, and they made a strategic decision to basically re-engineer the entire platform, which obviously put us in a little bit of a tight spot, so we basically decided to exit the relationship with them, at least for now.
Tien-tsin Huang - JP Morgan: Is this something you'd look to get back into, Gary?
Gary C. Butler - President, Chief Executive Officer, Director: Yeah. We had pretty good initial sales success when we did it, and we're in the market talking to other folks that are in that business, although we've made no commitments at this point.
Tien-tsin Huang - JP Morgan: Okay. Very good. Thanks for the details.
Elena Charles - Vice President, Investor Relations: You're welcome.
Operator: Our next question comes from [Brant Bucatini] with Deutsche Bank.
Unidentified Analyst - Deutsche Bank: Hi, this is Sue, filling in for Brant. Could you give us some color on why the client float balances were so strong this quarter? I believe they were up 9% yearonyear and 6% quarter-on-quarter.
Christopher R. Reidy - Chief Financial Officer, Vice President: Yes. I think in my opening remarks I had also alluded to the fact that there's basically two stories there. One is we had strong growth in the U.S., but on top of that we got about a point and a half lift from the strong Canadian dollar. And we obviously move money in Canadian dollars, and when we translate that we're getting a lift of about a point and a half. So it's the combination of the two of those.
Unknown Analyst - Deutsche Bank: Thank you.
Operator: Our next question comes from David [Togas] with First Manhattan.
Christopher R. Reidy - Chief Financial Officer, Vice President: Good morning, David.
David Togas - First Manhattan: [break in audio] significant changes in ownership structure at Reynolds and Reynolds and Ceridian in the last couple of years, and I'm wondering if you could give us some granular insights into recent head-to-head, you know, sales experience with both competitors?
Gary C. Butler - President, Chief Executive Officer, Director: In terms of Reynolds and Reynolds and the UCS combination, obviously they don't publish their results at this point, being private. As I think I mentioned in one of the questions, we continue to take share to the tune of - I can't remember the exact number, but it's 2 or 3 to 1 against them in the Dealer market, so I think we're doing very well. Obviously, their focus is a little different than ours around global expansion and other areas, and they're much more focused on getting cost out of the system, et cetera, in the U.S. marketplaces. But again, I can't speak with a lot of accuracy there because, obviously, they're not a public company in terms of that result. Ceridian - it's pretty much business as usual. We're seeing no dramatic difference in their behavior in the marketplace, you know, and I think time will tell how they - you know, how this all plays out for them.
David Togas - First Manhattan: Okay. Thank you.
Elena Charles - Vice President, Investor Relations: You're welcome, David.
Operator: We have time for one or two more questions, and our next question will come from the line of Mark Marcon with Baird.
Mark Marcon - Robert W. Baird & Co.: Good morning. I was wondering - a couple of quick questions. First of all, when does your annual price increase go through?
Elena Charles - Vice President, Investor Relations: The beginning of the fiscal year.
Mark Marcon - Robert W. Baird & Co.: Okay. And then the second one is, what service areas - as we look out over the course of this coming year, what services are you most excited about in terms of, you know, new sales potential? I listened with interest when you mentioned that you might ramp up the ASO offering to medium-sized clients. I'm wondering if you can talk a little bit about the potential there and how that could potentially increase your revenue per client on that side.
Gary C. Butler - President, Chief Executive Officer, Director: Well, first of all, beyond our business as usual organic growth rate because selling new payroll accounts is obviously the most profitable thing we can do, but our second most important growth initiative is in what we would call the HRBPO arena, and for us that includes the PEO on the low end, the ASO in the low and the middle, and our COS platform up market. So we're just launching the ASO platform. I think we have maybe 40 plus salespeople in the mid-market, Major accounts, starting to sell that platform now. We have another 30 or 40 that are dedicated in the low end of the market, below 50 pays. And we're going to continue to expand those businesses quite aggressively. As you know, the PEO is a $1 billion business today. If you continue to grow revenue and new sales at a 20% plus rate, you get to $2 billion in a pretty big hurry. We think our COS platform is certainly a $0.5 billion business over the next four years or so, and we certainly thing GobalView over that same fouryear period is a $0.5 billion opportunity as well. So in terms of pure organic revenue growth, those are the areas that I think have the largest potential.
Mark Marcon - Robert W. Baird & Co.: Perfect. And then, with regards to just the economic sensitivity, can you give us a feel for if your average client - if we go through a hard recession, just from a sensitivity analysis perspective, and we see a decline of, say, you know, 1% in terms of employees per existing clients, can you tell us a little bit about how to think about the marginal impact with regards to profitability?
Gary C. Butler - President, Chief Executive Officer, Director: Well, as Chris mentioned earlier, a 1% decline in same-store sales or pays per control is worth around $15 to $20 million. Obviously, that incremental pay growth is higher margin than our existing margins in the business. I don't think it would be appropriate for me to just throw out a number on what that's worth because it would be different in our small business platforms versus COS versus AutoPay, and it's really not a metric that we would track across the enterprise.
Mark Marcon - Robert W. Baird & Co.: Okay. Thanks for the feel.
Elena Charles - Vice President, Investor Relations: You're welcome.
Operator: Our next question will come from the line of T. C. Robillard with Banc of America Securities.
Unidentified Analyst - Banc of America Securities: Hey, guys, this is [inaudible] for T.C. I just wanted to ask you guys for a little granularity on the Dealer segment. As the U.S. economy slows, that business is doing really well, obviously, still, but just wanted to understand how sensitive that business is to the auto market and how bad things would have to get to see a real slowdown or even downturn in that business?
Gary C. Butler - President, Chief Executive Officer, Director: Well, the North American or particularly the U.S. market has been tough for the last couple of three years, so it's nothing new going on there - slightly softer than it was - so we've been dealing with that issue for quite some time, and don't really expect the current situation to dramatically affect anything there. In fact, in some ways lower interest rates and incentives by the domestics will kind of add some fuel to that fire. Internationally, you know, it's business as usual and it's gangbusters in the Far East in terms of what's happening in new car sales. So I don't expect it to really affect our Dealer business today anymore than it already currently is.
Unidentified Analyst - Banc of America Securities: Great. Thanks.
Operator: I'll now turn the call over to Mr. Butler for closing remarks.
Gary C. Butler - President, Chief Executive Officer, Director: First of all, thank you for attending today. As you can tell by our comments, I think we have been forthright in what's going on in the business, both in terms of interest rates as well as in our core business. I would remind you, I think the important thing for you to consider is ADP today is a far different animal than it was six or seven years ago. Our portfolio has twice the duration that it did back in the '01 and '02 days. Our product portfolio has never been stronger, and we're going to continue to stay the course and drive the organic growth across the enterprise. So with that, I'll conclude, and thank you for attending.
Operator: Thank you for participating in today's teleconference. You may now disconnect.